Operator: Ladies and gentlemen, thank you for standing by. Welcome to the IQVIA Fourth Quarter 2019 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. As a reminder this conference is being recorded, Wednesday, February 12th, 2020. I would now like to turn the conference over to Andrew Markwick, Senior Vice President, Investor Relations and Treasury. Please go ahead.
Andrew Markwick: Thank you, Pama. Good morning everyone. Thank you for joining our fourth quarter and full year 2019 earnings call. With me today are Ari Bousbib, Chairman and Chief Executive Officer; Michael McDonnell, Executive Vice President and Chief Financial Officer; Eric Sherbet, Executive Vice President and General Counsel; Nick Charles, Senior Vice President Financial Planning and Analysis; and Jen Halchak, Senior Director Investor Relations. Today, we'll be referencing a presentation that will be visible during this call for those of you on our webcast. This presentation will also be available following this call on the Events and Presentations section of our IQVIA Investor Relations website at ir.iqvia.com. Before we begin, I would like to caution listeners that certain information discussed by management during this conference call will include forward-looking statements. Actual results could differ materially from those stated or implied by forward-looking statements due to risks and uncertainties associated with the company's business which are discussed in the company's filings with the Securities and Exchange Commission including our annual report on Form 10-K and subsequent SEC filings. In addition we will discuss certain non-GAAP financial measures on this call, which should be considered a supplement to, and not a substitute for, financial measures prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the comparable GAAP measures is included in the press release and conference call presentation. I would now like to turn the call over to our Chairman and CEO, Ari Bousbib.
Ari Bousbib: Thank you, Andrew and good morning everyone. Thank you for joining our fourth quarter and full year 2019 earnings call where we will review how we closed 2019 and provide financial guidance for 2020. As you know, 2019 marks the final year of our three-year merger integration program. We've had 13 quarters since our merger closed. And I am pleased that we have consistently delivered revenue, EBITDA, and EPS at or above expectations. Let's review this most recent quarter in more detail. Fourth quarter revenue of $2.895 billion came in $38 million above the high end of our guidance range. Revenue growth was 7.7% on a reported basis and 8.5% on a constant currency basis. If we take a look back at our three-year growth performance, we grew revenue at 6.9% on average and we exited 2019 at 7.7% or 8.5% on a constant currency basis. Recall at the time of the merger, we told you that total company revenue growth would be 100 to 200 basis points higher exiting the third year of our merger integration. And as you know this was achieved during the third year of our merger integration. Full year 2019 revenue of $11.088 billion grew 8% at constant currency and almost 6% on an organic constant currency basis. That represents an organic revenue growth acceleration of well over 200 basis points compared to 2018. We see this strong topline growth rate continuing into 2020 and Mike will provide more details later. Back to the quarter, from a segment perspective, Technology & Analytics Solutions revenue grew 9% at constant currency. As expected, Technology & Analytics Solutions growth moderated slightly sequentially. This was the result of our unusually strong Q3 organic performance as well as a lower contribution from M&A. But despite this, Technology & Analytics Solutions organic growth came in at over 7% -- 7.4% to be precise which is well above the historic trend from the IMS days which some of you will recall was more in the 4% range. So, in this segment, significant acceleration. R&D solutions revenue grew 8.1% at constant currency. Now, we told you last quarter that R&DS organic services growth would be higher in the fourth quarter. And in fact, adjusting for the impact of pass-throughs of approximately 400 basis points and an M&A contribution of approximately 200 basis points, organic services growth on a constant currency basis accelerated to exactly 10%, also representing a significant acceleration versus the pre-merger services organic growth rate, which was just under 5%. Contract Sales & Medical Solutions continues to demonstrate that it has turned a corner, growing 8.3% on a constant currency basis in the quarter. Now this is undoubtedly very strong performance, but I would remind you, it was also an easy comparison against fourth quarter last year. We expect CSMS to maintain very modest growth going forward. Fourth quarter adjusted EBITDA came in at $642 million, resulting in adjusted EBITDA margins that continued to expand in the quarter. As you know, we've been making investments in technology talent and go-to-market resources. We've also been very active in deploying all of our tech wins, developing the clinical and commercial technology offerings, and acquiring tech companies all of which have a dilutive impact on our margins. So in this context, we are very pleased with our results. Fourth quarter adjusted diluted EPS of $1.74 was at the high end of our guidance range and grew 16%. These strong financial results were driven by numerous operating achievements and milestones. I'd like to take you through some of our 2019 operational achievements. 2019 was a pivotal year for our technology business. OCE gained significant traction earning deserved credibility in the market. We won 50 new OCE deals in 2019 compared to 30 in 2018, which was the first full year post launch. We now have almost 60,000 contracted seats to deploy. We have four top 15 pharma clients, who have made the decision to adopt our superior platform. Our deployment with Roche is complete for several countries in Asia. With that successful delivery, we are working to accelerate the rollout globally to enable Roche's worldwide digital strategy. The Novo Nordisk deployment is well underway and feedback has been very positive. Additionally, we are excited to start our first large U.S. deployment as you've seen in one AstraZeneca U.S. business for OCE. During 2019, we also ramped our investment in the clinical technology space, and I want to highlight today our progress in Virtual Trials. You will recall that our Virtual Trial technology Study Hub is a scalable SaaS platform built on Salesforce's Health Cloud. We're having success in the market with this transformative technology and delivery model. We're now executing on several studies on a global basis in all key geographies. Studies span multiple therapeutic areas, including CNS, oncology, and digital therapeutics to name a few. And the study execution can take the form of either a full Virtual Trial or a combination of both traditional and Virtual Trial. We have a strong pipeline in Virtual Trials and have established ourselves as a premier provider in this space going into 2020. In real-world, we continue to build our leading position in the real-world market. We were selected as a preferred provider by Roche Pharma Company with over 20 real-world engagements already over the next five years. We also helped the top 10 pharma company obtained, an FDA-approved license extension for an oncology product using a real-world comparator arm. And lastly, we continue to make enhancements to E360 Genomics our patented technology platforms, which will advance, research in the real-world space through the use of non-identified genomic data linked to rich patient analytics. The real-world team continues to invest in our rich clinical data assets, which has now grown to 800 million non-identified patients globally. Moving to R&D. For the fourth quarter, our book-to-bill ratio was 1.46 on both a services basis and including pass-throughs. For the full year, our services book-to-bill was 1.34. And including pass-throughs, the book-to-bill was 1.33. Our backlog at the end of the year was a record $19 billion. Our next 12 months revenue from backlog increased by a further $100 million to $5.2 billion. In 2019, we won business with well over 250 new clients in the clinical space during the year. Importantly, we captured two preferred provider agreements with top 15 pharma clients that had been locked out previously. We are clearly seeing more and winning more trials as sponsors come to realize the benefits of our highly differentiated capabilities. In fact our CORE-powered Smart trial offering continues to drive new business wins. During the quarter, we were awarded over $900 million of CORE-powered Smart trial business excluding pass-throughs. Today, 13 of the top 20 pharma companies are using our CORE-powered approach to improve trial design to speed up site identification and to increase patient recruitment. As we speak, we have over 800 Smart trials in operation, enrolling more than 120,000 patients. Finally, just like to say a few words about the business environment. R&D activity is at an all-time high with total number of molecules in clinical development continues to grow with the late-stage pipeline growing 11% in 2019. On average over the last three years, the FDA has approved 51 new drugs. Importantly, outsourcing penetration of addressable clinical spend has grown to almost 50% as pharma companies turn to CROs for expertise in running increasingly complex trials and recruiting increasingly hard to find patients. Venture Capital funding of life sciences companies remains robust. The National Venture Capital Association reported a record number of deals in 2019 with dollars invested moderating only slightly over a record set in 2018. All of these supports a very solid backdrop for the industry as we go into 2020. Once again, another very strong quarter and a very, very strong year across all our businesses. Mike will now review the financials in more detail.
Michael McDonnell: Thank you, Ari. Good morning, everyone. As you have seen it was a very solid quarter running out a very strong year. Let's turn first to revenue. Fourth quarter revenue of $2,895 million grew 8.5% at constant currency and 7.7% reported. Revenue for the full year was $11,088 million and grew 8% at constant currency and 6.5% reported. Technology & Analytics Solutions fourth quarter revenue of $1,214 million grew 9% at constant currency and 7.7% reported. Technology & Analytics Solutions revenue for the year was $4,486 million and grew 10.7% at constant currency and 8.4% reported. R&D Solutions fourth quarter revenue of $1,471 million grew 8.1% at constant currency and 7.5% reported. Full year R&D solutions revenue of $5,788 million grew 6.9% at constant currency and 5.9% reported. Fourth quarter, Contract Sales & Medical Solutions revenue of $210 million grew 8.3% on a constant currency basis and 8.8% reported. CSMS revenue for the year was $814 million, up 1.6% at constant currency and 0.5% on a reported basis. Turning now to profit. Adjusted EBITDA was $642 million for the fourth quarter and $2,400 million for the full year of 2019. Fourth quarter GAAP net income was $16 million and GAAP diluted earnings per share was $0.09. Full year GAAP net income was $191 million and GAAP diluted earnings per share was $0.96. Adjusted net income was $343 million for the fourth quarter and $1,276 million for the full year. Fourth quarter adjusted diluted earnings per share grew 16% year-over-year to $1.74. Full year adjusted diluted earnings per share of $6.39 grew 15.1%. Let's turn now to R&D Solutions backlog. Closing backlog at December 31, 2019 was $19 billion. And the amount of backlog that we expect to convert to revenue over the next 12 months increased by approximately $100 million to $5.2 billion. As Ari mentioned, we are well-positioned for further acceleration in R&DS revenue growth in 2020. Let's now review the balance sheet. At December 31st, cash and cash equivalents totaled $837 million and debt was $11,645 million, resulting in net debt of $10,808 million. Our net leverage ratio was 4.5 times our trailing 12-month adjusted EBITDA. Cash flow from operating activities was $583 million in the fourth quarter and $1.4 billion for the year. CapEx for the full year was $582 million, of which $137 million was spent in the fourth quarter. As expected, we had a large ramp in free cash flow in the fourth quarter. Fourth quarter free cash flow was $446 million, resulting in full year free cash flow of $835 million. We repurchased $255 million of our stock during the fourth quarter totaling $945 million for the year. Now, let's turn to 2020 guidance. Our full year 2020 revenue guidance is $11,775 million to $12 million. For full year profit, we expect adjusted EBITDA to be between $2,565 million and $2,620 million and adjusted diluted EPS to be between $7.15 and $7.35. This guidance assumes foreign currency rates at February 7, 2020 remain in effect for the rest of the year. You should note that since the beginning of the year, when we originally set our plans for the year, foreign currency rates have moved against us and resulting -- and have resulted in a headwind to our 2020 revenue plan of about $80 million. So, absent these movements, full year 2020 revenue guidance would have been about $80 million higher. In addition, our financial guidance includes our best assessment of potential coronavirus impacts and our guidance assumes -- which our guidance assumes will primarily affect our R&D Solutions segment. You can appreciate that this is evolving in real-time, but we can already see disruptions to our sites which are mostly hospitals in China. We are currently assuming and hoping for a short-term resolution to this outbreak and have therefore assumed an impact to first quarter revenue of $25 million with heavy drop-through and have carried these impacts to our full year guidance. Before turning to our first quarter guidance, a few additional points about the full year, regarding our segments for 2020. We currently expect Technology & Analytics Solutions revenue to be between $4,775 million and $4,860 million, representing reported growth of 6.4% to 8.3% or 7.2% to 9.1% on a constant currency basis. This guidance assumes approximately 100 basis points of M&A contribution, which is considerably lower than what it has been over the last three years. R&D solutions revenue is expected to be between $6,185 million and $6,325 million, representing reported growth of 6.9% to 9.3% or 7.2% to 9.6% on a constant currency basis. Note this growth rate assumes a 200 basis point headwind from pass-throughs, so R&D Solutions' constant currency services growth is expected to be 9.2% to 11.6%. This guidance assumes approximately 100 basis points of M&A contribution. We expect R&D solutions revenue growth to be lumpy quarter-over-quarter. You should not expect the growth rate to be linear. Specifically, as it relates to the first quarter of 2020, I would encourage you to look at our past performance. You will see it is not unusual for growth rates in R&D Solutions to step down from the fourth quarter to the first quarter. Additionally this year, we have incorporated the impact of the coronavirus, which I just discussed. CSMS revenue is expected to be about $815 million, representing reported growth of about 0.1% for 2020 or approximately 0.7% at constant FX rates. While we look at the acceleration of the business overall, we know many of you are focused on the revenue acceleration for R&D Solutions, so I'd like to take a minute to highlight our progression there. As you know, the impact to growth from pass-throughs has been lumpy, but since the adoption of ASC 606 in 2018, we have continued to see pass-throughs grow at a slower rate than service revenue. This is due to the number of projects we have in the start-up phase, where less pass-through is generated. Therefore, we believe it is best to look at R&D solutions services growth adjusted for the impact of pass-throughs. On that basis, constant currency R&D Solutions services growth was 5.4% in 2017, which was the first full year after the merger. For 2020, the first full year after our merger integration period, the midpoint of our R&D solutions constant currency services growth guidance is 10.4%. So, you can see we have nearly doubled our growth rate which represents a dramatic acceleration. Let me now give you some color on the first quarter of 2020. Assuming FX rates at February 7 remain constant through the end of the quarter, we expect revenue to be between $2,790 million and $2,840 million, adjusted EBITDA to be between $595 million and $610 million and adjusted diluted EPS to be between $1.59 and $1.65. And as I mentioned earlier, we have assumed a disproportionate impact of the coronavirus in the first quarter and this is reflected in our guidance. First quarter guidance assumes foreign currency rates at February 7, 2020 remain in effect for the rest of the quarter. As I mentioned earlier, foreign currency rates have moved against us since the beginning of the year, which has resulted in a headwind to our first quarter revenue plan of about $20 million. And so absent these movements, first quarter revenue guidance would have been about $20 million higher. And so in summary, fourth quarter revenue, adjusted EBITDA and earnings were at or above our financial targets. Full year 2019 organic constant currency revenue growth accelerated over 200 basis points compared to 2018. Adjusted diluted EPS continues to compound in the mid-teens with 15.1% growth in 2019. We won 50 new OCE deals in 2019. R&D Solutions backlog stands at $19 billion with $5.2 billion expected to convert to revenue over the next 12 months. CSMS successfully stabilized in 2019. We deployed almost $1 billion to share repurchase and we are planning for a very strong 2020, demonstrating strong continued operating momentum and growth acceleration. And with that let me hand it back to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Eric Coldwell with Baird. Please proceed with your question.
Eric Coldwell: Thanks very much and good morning. I have two questions. The first is in Technology & Analytics. A tough one to ask. I'm not sure how to best go about this but there's been obviously a lot of investment, a lot of new wins. You've got a lot of onboarding coming with the top pharmas that you've highlighted here. I'm curious if you have a sense on when based on the current pipeline and your current wins, when the actual revenue and performance of clients that have been onboarded might be able to offset the incremental investments that you're making during the onboarding phase? In other words, do you see a point? Is it 2021 or 2022, where you have more momentum with onboarded clients that you can absorb future onboarding and maintain or grow the EBITDA in the segment?
Andrew Markwick: Hi, Eric, this is Andrew. I think, I mean if we go back to our Analyst Day in June we laid out a new plan for the next three years through the 2020, 2022 time frame. We clearly said that, we expect EBITDA to grow slower than it has been in the past. We're committed to margin expansion and we're looking for margin expansion in the business but the deployments we're putting out currently are going to pressure that and the investments we're seeing in technology. We're going to see some of that revenue come through now. But obviously, we've got large global deployments for the likes of Roche and we're planning on being active with our go-to-market as well. Hopefully, as we go forward, this will bring natural margin accretion because the revenue that we're layering into the base is higher margin, but we're not assuming that's going to take place during the next three years, so we've asked everyone to underwrite the midterm guidance. But if you do the math on the EBITDA growth, get to an average to about 20, 30 basis points, which assumes kind of continued investment in deployment of the technology wins.
Ari Bousbib: Eric, good morning. If your question is as always on the margin, you're trying to understand when the benefit of higher-margin seats license revenue offsets the investments. And obviously, we are hoping that we're going to continue to accelerate our selling momentum in this business. So it's hard to just isolate the EBITDA contribution of that line of business, because we continue to invest and deploy new seats. And hopefully we'll continue to grow our market share and expand. When the business in isolation is more accretive to margins, it will be some time in the next three-year period. But in aggregate as Andrew reminded us, we expect to continue to grow our EBITDA faster than our top line and over the period and have margin accretion for the company as a whole. You had a second question?
Eric Coldwell: Yes. Yes. It's sort of a follow-on on that and it's -- I absolutely agree we'd rather see the business wins than you making the investments now for the future. So thank you for that. The follow-on and I apologize if I missed it we're toggling a couple of reports. But did you mention anything about the pipeline either in OCE or tech more broadly? You had the 80-plus wins that you've cited here on this call since rolling out OCE. I'm curious what your pipeline might be. And do you have a line of sight over the next year on additional top 15 pharmas? What does that pipeline look like based on those clients' renewal cycles and who may be coming to market?
Ari Bousbib: Yes. I mean look, it's -- we are in dialogue. We have been in dialogue since we launched the product with essentially all large pharma and really anyone who's contemplating either a renewal or a switch or an upgrade to their CRM platform. So, we have an active pipeline and some are more likely than others, but it's hard for me to give you precise numbers in isolation of that client. In addition, as you know, we have all the add-ons. We have ePromo, the analytics, the MDM products that can be stitched together with OCE. And we are very, very active in conversations with -- on the clinical technology side, I mentioned in my remarks Virtual Trials that I wanted to highlight. But certainly, the other modules of our clinical technology suites, we are also in active discussions with safety and regulatory modules and others on content management. So, there is a very large pipeline and we have a lot of conversations. It's going to continue to ramp up. This is why we feel comfortable with the guidance on the Technology & Analytics segment. That represents a significant acceleration versus our history. I think you are a bit familiar with the history at IMS and our "best-in-class" organic growth rate was more in the 4% range. And bear in mind that our Info business, which is a significant portion, let's say, about a third or 30% or so of our Tech & Analytics Solutions segment grows at zero percent. So, when you do the math, you will realize that the growth on the Technology piece and the Analytics piece is significant.
Eric Coldwell: Yes. That’s great. Thank you so much for the answers, and congrats on the strong outlook.
Ari Bousbib: Thank you.
Operator: Thank you, sir. Continuing on, our next question comes from the line of Robert Jones with Goldman Sachs. Please proceed with your question.
Robert Jones: Great. Thanks so much. I guess just wanted to talk a little bit about the cadence for 2020. I know you guys laid out a lot of detail to help us think through that. But if I just look at the sequential total enterprise-level revenue step-down from last year and then what you're indicating for this year, it does seem like obviously an easier comp for 1Q year-over-year adjusting for corona. Is there anything else you guys are thinking about as far as what's at play as far as why the revenue in 1Q might look to be a bit of a deceleration again off of an easy comp year-over-year? And then, what's the line of sight obviously to get to the full year number that you guys sound very confident in achieving next year?
Ari Bousbib: Yes. I'm not sure what the question is. If the question is on Q1, why is Q1, again Q1 unfortunately we just assumed that the quarter will -- we see what's happening in China as a result of coronavirus. I don't want to overstate it because it's -- China represents a very tiny piece of our overall business. Without disclosing the number of sites we have well over 100,000 sites worldwide. And in the particular region in China where this is happening it's less than 100 sites. I think in China, we might have somewhere around a couple of thousand sites. But people -- patients are simply not going. The patients who are enrolled in a trial are simply not going to visit the hospitals where all the sites are in China, because that's kind of the more dangerous spot right now. And then obviously CRAs will not send them. So, there's a little bit of a pause in business environment, if you will as a result of this and we've quantified that to be $25 million of impact in the first quarter assuming resolution by then hopefully. And that obviously -- we're still paying bigger so the costs are there, and so, most of that $25 million is dropping through profits as well. And so that kind of causes a little depression in the first quarter. And we've carried that to -- that's the main explanation. Yes.
Robert Jones: No. I think that makes a ton of sense sorry. I guess I maybe asked another way. I guess ex-ing out the impact from corona, is there anything we should be contemplating as far as the cadence of 2020 versus the normal cadence of revenue growth that we've seen the last year.
Ari Bousbib: No. I mean look generally, if you look at every year, so for instance, we've had IQVIA in operation, which is a little over three years. Generally the first quarter represents a little less proportion of the revenue than the other quarters, right? I mean it's like a couple of percentage points lower in Q1 than Q4 for example. If you look -- if you take a look at 2019, Q1 was 24% of our EBITDA for the full year and Q4 was 27%. And on a revenue basis, Q1 of 2019 was 24% of our revenue and Q4 was 26%. So generally, there's 2 to 3 points difference because of the proportion that they represent. So, it's generally the case. And then furthermore, if you look at actual numbers FX is significant. And I think relative to prior year, when you compare year-over-year the impact of FX year-over-year is very significant -- is more significant in the first quarter. You wanted to add something Andrew?
Andrew Markwick: No. Obviously FX is a headwind to year-over-year growth for the full year. We're not obviously going to see that in the first quarter. We might call out that since the beginning of the year FX has moved against us by about $20 million. So our guidance would have been $20 million higher, if we hadn't had the strengthening of the dollar over the last few weeks. The growth rate you're reporting on -- calculating on a reported basis obviously on a constant dollar basis would probably be about 90 to 100 basis points higher for that year-over-year FX headwind as well.
Ari Bousbib: In the first quarter.
Andrew Markwick: In the first quarter. Yes.
Robert Jones: Got it.
Operator: Thank you. Continuing on, our next question comes from the line of Jack Meehan with Barclays. Please proceed.
Jack Meehan: Thank you. Good morning. I wonder -- focused on the upside in the fourth quarter. So if you look at revenue it came in above the guidance you had laid out for the fourth quarter pretty comfortably. I guess versus your plan where was the upside? At least when I first saw the number, I assumed it was pass-throughs, but it was actually the opposite. Obviously that was a headwind. And then on the EBITDA line, I think one nitpick would be, you didn't see any drop-downs. So just wondering if you could comment on whether there was some reinvestment back in the business as well?
Ari Bousbib: Yes. Well thank you Jack. Thank you for the question. Yes, the upside versus guidance on the revenue came entirely from the underlying operational performance of the businesses and not from pass-through. As you said pass-through was a headwind. The majority of the beat versus our guidance, the vast majority was in the technology segment. We just talked about this during my remarks and answers to Eric's question. We're starting to see revenue ramp on the technology business -- Technology & Analytics Solutions segment. And the flip side is, mitigating the drop-through of EBITDA which is very strong by the way on the technology side, very strong EBITDA drop-through. But mitigating that are the continuing investments in deployment. So when we finish deployment for our top 10 clients in Asia those revenues come in at a very high margin because again they are SaaS licenses. But at the same time, we're deploying in other parts of the world and so that implementation is essentially a no-margin business. So that offsets that and offsets our continuing investments as you pointed out. Nevertheless I just want to point out that we had generated margin accretion -- margin expansion in the quarter.
Jack Meehan: Yes. That's all fair. And Mike I was curious as you went about assessing the impact from coronavirus and I know it's to the best of your ability at this point. But just comment is this predominantly the $25 million on the R&D segment? Is there any impact potentially on the tech side?
Michael McDonnell: Yes. The majority of it is on the R&D side. I'd say it's virtually 100% on the R&DS side where we would see the impact. The rest of the business, we don't see any material impacts.
Ari Bousbib: Yes. I mean just to add obviously there's a -- again, it's just a physical constraint. The rest of the business is less -- does not require actual physical movement of people on the Technology & Analytics Solutions side. So as Mike said, I think we can say 99% is on the R&D side.
Jack Meehan: Thank you. 
Operator: Thank you. Continuing on next...
Ari Bousbib: I'm sorry. Just to comment on this a little bit. We obviously have contingencies and we're working on mitigating all of these issues. So I don't want to -- it is obviously an evolving situation but we currently expect that this will be resolved. And we are also internally working on mitigation plans we're reorienting certain sites opening up new sites outside of China et cetera. So it's not like we're just sitting and waiting for these sites to be open blindly. So I just want to make sure you understand we're a large company and we can absorb the issues within our contingency for the year. We will revisit as appropriate if things change.
Operator: Thank you, sir. Now our next question comes from the line of Elizabeth Anderson with Evercore. Please proceed.
Elizabeth Anderson: Hi, guys. Thanks for taking the question. I just had a question on -- obviously the book-to-bill in the quarter was very impressive and you spoke into some of the lumpiness and outlook. Is there anything to think about in terms of like the trial conversions and sort of the length or delays in starts that we should also take into account?
Andrew Markwick: Sorry, Elizabeth can you say that again? I'm not sure we followed. We couldn't hear the beginning of your question.
Elizabeth Anderson: Sorry, about that. Can you -- hopefully you can hear me better now. So obviously you guys put up a very impressive book-to-bill and it comes on the back of several other really nice book-to-bills. So I know that you spoke about some of the impact of the trial lumpiness in the quarter, but I wanted to know if there was anything you guys had to comment about, sort of, trial conversions or increased complexity or delayed start times or anything on sort of like a more broader level that you're seeing that would also potentially play into some of the sort of intra-quarter movement in your guidance.
Andrew Markwick: No. I think I mean when you look at the first quarter I think if you look at history we're trying pretty much along the lines of what we've seen historically. There's nothing unusual, no delays. I think if anything we're moving forward in our backlog. Next 12 months' revenue is nice and healthy and shows continued increases every quarter at this stage and its business as usual for us everywhere else.
Ari Bousbib: Yes. Very, very strong very strong bookings continuing across the board. We've can see that before that we believe we're gaining market share and I think it's pretty obvious if you look at the size of our revenue and the level of the -- I think we've had seven quarters in a row where we've had book-to-bill ratios above 1.2. Is that correct?
Andrew Markwick: Yes. Over the last couple of years.
Ari Bousbib: And we've had very, very strong bookings I mean for the year 1.33 or 1.34 if you look at it on services basis. And across the board we have a very, very strong proportion very, very strong the vast majority being full clinical work. And because we are in start-up phase for all of those very strong bookings that we generated last year remember in the third and fourth quarter of 2018 we had book-to-bill ratios of 1.7. And those were -- lots of them were full clinical work and they are in start-up phase. And during that start-up phase they are -- there is no pass-throughs obviously right? So that's what's causing the headwinds from pass-throughs -- the higher headwind from pass-throughs in the fourth quarter. Now the good news is full clinical are the nice sweet spots of the CRO business where you want to be and they have higher margins. And we expect strong margin drop-throughs in the next couple of years as we continue to deploy those -- or perform those clinical trials.
Elizabeth Anderson: Okay. That's very helpful. And obviously with your book-to-bill and the continued revenue growth you guys are putting up some -- what I assume are some nice share gains versus peers. Is there anything you'd like to call out either qualitatively or not about, sort of, reasons that people -- sponsors are choosing you any particular like products offerings or other things?
Ari Bousbib: Yes. I think we've mentioned in the past that our capabilities are unique what we call the CORE-powered SMART trials using data analytics and technology to, sort of, model out the trial early on, healthy trial design, optimize protocols, accelerate site identification to optimize the trial strategy and of course all of that supporting a faster and more precise patient recruitment, which is demonstrated now by our performance on those trials. When we started after the merger I think we were very, very pleased to see quarterly awards not talking about bookings, but awards of SMART trials being the $200 million $300 million a quarter. And I mentioned in my introductory remarks that this past quarter we had over $900 million of award and that service is only in terms of the -- of CORE-powered SMART trials. It's becoming the way we do business. We are applying CORE-powered SMART trial to the vast majority of what we bid on today with a higher win rate as a result of those capabilities. Thank you. 
Elizabeth Anderson: Okay. Perfect. Thank you. 
Operator: Okay. Continuing on our next question comes from line of Shlomo Rosenbaum with Stifel. Please proceed, sir.
Shlomo Rosenbaum: Hi. Thank you very much for taking my questions. Ari, given all the wins that you've had in OCE, can you talk a little bit about just have you seen a competitive response from a major competitor over there? Is there anything that they're doing in terms of pricing? Also there's some comments that I've heard from speculation that you -- that in order to win some of the business you could be subsidizing the OCE with the fact that you have such a big base of info services. Is the pricing that you're going out to the market with competitive in the market? Are you winning based on capabilities? Or is there some of that subsidy going on? Thank you. 
Ari Bousbib: Thank you, Shlomo. And we -- I know there's a lot of noise. And as you know there is an entrenched dominant competitor in this space that has had essentially easy for many years essentially for a decade. And so for sure we are coming from behind and that today has done a fantastic job and we admire their performance. But we believe that our product is superior in terms of functionality. I remind you that OCE is based on the different Salesforce platform than the competitor product was. The competitor product was built on the Salesforce platform of 10 years ago. Since then, it's a totally different platform with a lot more functionality that is being built into the platform and from which we have benefited. So the added functionality is really what helps us win. There are AI/ML modules built into this OCE platform that do not exist at the competitors. In order to match those, they have to build custom-made modules. Now ours are standard and built from the start, that's the fundamental difference. That's the fundamental difference and this is why we are able to win. Trust me on a global deployment in over 100 countries as we're doing for Roche for such an important tool for Roche, a few dollars more or less I'm not going to make them switch. This is one of the most sophisticated pharma companies around. They will pay a higher price for better functionality. In the grand scheme of things, it does not represent a huge line item in Roche's P&L. Okay? So we are not an underlying in stress. We are not pricing below. We actually in some cases have priced at a premium.
Shlomo Rosenbaum: Okay. Great. And has there been a competitive response that you want to point out? Or what does it look like to you?
Ari Bousbib: Look I usually refrain from commenting on what competitors are doing. I mean all I know is the competitor bought a company that kind of -- that works with, I think, which is was called cross [Indiscernible] -- 
Andrew Markwick: Yes.
Ari Bousbib: Something like that, that has a little bit of data or that works with data. I'm not quite sure what it is to be frank. But clearly, it's an event that provide them capabilities additional. And then there are other reactions that I'd rather not comment on -- but I -- we're just focused on executing on our strategy.
Shlomo Rosenbaum: Okay, great. Thank you very much.
Operator: Thank you. Continuing on our next question comes from the line of John Kreger with William Blair. Please proceed with your question.
John Kreger: Hi. Thank you. Ari another technology question for you. Could you give us an update on the OCT suite of products? Curious if you could give us a sense about timing and whether or not you think that could offer a similar opportunity as the success you're seeing now with OCE? Thanks.
Ari Bousbib: Yes. So today, look we have a few modules that are already available and that are being sold. We have specific technologies like the site portal, the investigated payments and e-consent that are out in the market and are quite successful. There are also patient photos. Virtual Trials that I discussed is really what we've been pushing. And by the way in the context -- I don't want to bring it up again. In context of what's going on in China with Virtual Trial, the technology actually shows that that's the way of the future. Risk-based monitoring and mobile CRA will go live in the first quarter of 2020. And we've got additional products like CTMS which will be released in Q4, so -- which again with a full sweep. As we said the full suite would be essentially available by the end of the year, so we're releasing modules as we go.
John Kreger: Very helpful. Thanks. And Mike a question for you. I think you talked about backlog increasing 11% last year compared to where ended in 2018. Is there anything you want to call out in terms of mix shifts within that backlog that could perhaps be a tailwind or headwinds for margins over the next couple of years? Thanks.
Andrew Markwick: Hey, John, it's Andrew. I think I mean we have a very large backlog, which we're very pleased with. And we see continued growth in next 12 months revenue from backlog. I think it's becoming increasingly diverse in terms of client mix, but really is more concentrated towards large pharma at this stage. We've obviously had a lot of success with the emerging biopharma clients which is a segment that we've really wanted to focus on post merger and we've seen a lot of success there. Out of the gate with our CORE-powered solution, I think that's where really show those kinds that are hungry for data tech analytics they have the right kind of products that are focused on that kind of approach. As our CORE-powered business has grown and Ari mentioned earlier, we were kind of a $2 million account post merger and we're running at close of $900 million a quarter, large pharma really coming to the table and looking at that offering. So I think being to assess with all client segments, it's still mainly large pharma is the main mix within our revenue base in that.
John Kreger: Okay. Thank you.
Operator: Thank you. And our next question comes from the line of Erin Wright with Crédit Suisse. Please proceed with your question.
Erin Wright: Great, thanks. You've historically been very diligent on the cost management front. I understand that you've completed the initial integration post-merger. But, what does your guidance assume in terms of continued incremental cost savings here on, in 2020 or even beyond? Thanks.
Ari Bousbib: Yes. Erin thanks for the question. We indeed as you pointed out actually exceeded our plans, for the $200 million synergy costs take-outs, that we have announced at the time of the merger. And we achieved that sometime earlier in 2019. But we also announced at our investor conference in June that we were launching a new $200 million cost-elimination initiatives for -- which we named V22 for the next 3-year period: 2020, 2021, 2022, and we are doing this in order to take advantage of the new larger scale of our business. We're now at a phase of an inflection point frankly, where we see growth accelerating. And we have to make sure when this happens in a business that, we don't let costs creep up ahead of revenue or even at the same time or in line with revenue. At the same time, we got to support that growth. So it's a more complex on an equation to manage. And therefore, it's important that we have a specific program. And we do have a program office, with a full-time team, that's dedicated to running those initiatives, across the company. Those run the gamut from continued initiatives on procurement, on infrastructure optimization, whether it's real estate, IT systems. And of course the more complex aspects of automation, using bots and AI/ML tools within our own operations. Offshoring which continue scaling up our Philippines, our India, and our other offshore centers in Eastern Europe, in South America, to continue supporting the growth from those centers. And all of those, in combination, we expect to generate exiting 2022, $200 million of cost savings, which we believe is necessary to more than offset the headwind to margins, that we would otherwise have, if we did nothing else. And we believe that, that is going to be ramping usually, a smaller portion in the first year. Maybe I'm going to say 20% or so of that $200 million will come in 2020, and then, perhaps another 30% or so in 20'21, and then, the balance the last 50%, during 2022. So that's the best estimate we have here, on how this is going to ramp up. Thank you very much, Erin.
Erin Wright: Okay that's perfect. And then, on Virtual Trials, do you think that you're leading the market now in Virtual Trial concepts? And you mentioned a strong pipeline there do you think that your win rates are disproportionately higher in -- with Virtual Trials? And how many Virtual Trials are you actually working on now? Thanks.
Ari Bousbib: Okay. It's in the double-digits, right? So I think it's -- what's that number? Do we have the number?
Andrew Markwick: I don't think we want to disclose it yet.
Ari Bousbib: Yes. We're not going to disclose it yet; you know more than 10, less than 20, okay? And it's all with large pharma.
Erin Wright: Okay, great. Thank you.
Ari Bousbib: Thank you for asking the questions, Erin. I think we're approaching the top of the hour now. So I think we'll end the call there. And thank you everyone for taking the time for joining us today. And we look forward to speaking with you again, on our first quarter 2020 earnings call. Jen and I will be available to take any follow-up questions you may have for the rest of the day. Thank you very much.
Operator: Thank you. Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation. And ask that, you please disconnect your lines. Thank you once again.